Operator: Please standby, your conference is about to begin. Good day, everyone. Before we get started, let me remind you that today’s conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995, and includes statements as to estimates, expectations, intentions and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity’s Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Please note, this call maybe recorded. It is now my pleasure to turn the call over to Gail Peck, Vice President and Treasurer of Trinity Industries. Please go ahead.
Gail Peck: Thank you, Victor. Good morning, everyone. Welcome to Trinity Industries Second Quarter 2012 Results Conference Call. I’m Gail Peck, Vice President and Treasurer of Trinity. Thank you for joining us today. Following the introduction, you will hear from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim, our business group leaders will provide overviews of the businesses within their respective groups. Our speakers are, Bill McWhirter, Senior Vice President and Group President of the Construction Products, Energy Equipment and Inland Barge Groups; and Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Groups. Following their comments, James Perry, our Senior Vice President and Chief Financial Officer will provide the financial summary and guidance. We will then move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer, is also in the room with us today. I will now turn the call over to Tim Wallace for his comments.
Tim Wallace: Thank you, Gail, and good morning, everyone. Our business has performed well during the second quarter. We continue to see a strong demand for products to transport and store crude and other liquids critical to the energy industry. Our railcar and barge manufacturing businesses are aggressively pursuing demand for products that serve these industries. The backlog for these businesses totaled approximately $3.7 billion at the end of the quarter. The size of our rail and barge backlogs provides our business leaders production visibility deep into 2013. Our business leaders have been highly effective at working together to reposition a portion of our production capacity to pursue robust market opportunities. During the next three months we will shift more production capacity to serve the oil, gas and chemicals industries. As a result, the number of our businesses within our portfolio will benefit from this transition. As we began 2013, we expect our rail group to be in the early stages of a long production run of consistent product that serve these markets. We expect the similar situation of long production runs to continue in the area of our barge business to serve this markets. A number of our other businesses which provide internal support and manufacture products for these industries should also obtain long production runs and generate operating leverage. Trinity’s Railcar Leasing and Management Services group performed well during the second quarter obtaining higher lease rates and securing longer lease terms. The size and product mix of our lease fleet provides the opportunity to pursue secondary market sales when certain industry characteristics are favorable. This group will continue to pursue opportunities to capitalize on strong demand for certain types of secondary market sales of leased railcars. I’m pleased that our Energy Equipment group reported a profit during the second quarter. I’m confident that our team is moving in the right direction. We will adjust our production capacity for wind towers with industry demand and shift access capacity whenever possible to other industry products. The federal highway funding legislation that was recently implemented extends the current levels of highway funding for two more years. This should be a catalyst for our construction products businesses which serve this industry. Our balance sheet is in great shape and our overall financial position is strong. The business environment appears to be shaping up nicely into 2013 for our businesses that serve the oil, gas and chemicals industries. We are well-positioned to capitalize on additional opportunities for growth in a variety of industries. We’ve been very delivered during the past decade to position Trinity in a way that allows us to pursue a variety of opportunities in various industries. Our business is a very experienced and shifting resources as demand changes, aggressively pursuing orders to establish production runs and generating operating leverage, which leads to margin improvement during periods of consistent production levels. Our manufacturing flexibility is one of Trinity’s core competencies and we plan to utilize it as we see opportunity surface within the industries we serve. Overall, our second quarter performance reflects the strength of our multi-industry platform, the benefits provided by our market leadership positions, our commitment to operational excellence and the talents and hard work of our people. I will now turn it over to Bill McWhirter for his comments.
Bill McWhirter: Thank you, Tim, and good morning, everyone. Our Construction Products group produced an operating profit of $15.2 million during the second quarter of 2012. This is a slight decline from the same quarter year ago, which we attribute to a soft highway products market. The recent passage of much anticipated two-year high bill should improve market conditions by providing a stable environment for states to plan projects. The timing of the improve market maybe a little slow in coming, but we should see better market conditions in 2013 and 2014. Another encouraging sign for the construction market is a recent uptick in homebuilding. Overall, I see positive signs for market growth in 2013 and 2014. We continue to see this segment as a key contributor to Trinity’s multi-industry vision. As such, we will seek opportunities to grow and reshape the segment in future. Moving to our Energy Equipment group, the second quarter marked a return to profitability posting an operating profit of $4 million. In the near-term I believe we have an opportunity to continue improving profitability over the second half of the year. From a long-term planning perspective we see a significant decline in wind tower production in 2013 as the production tax credits seems likely to expire without renewal. We are in discussions with our customer to determine the appropriate rate of production for 2013 based on the status of the PTC and overall market demand. Unfortunately, Trinity’s Railcar business has significant demand and will utilize some of our excess wind tower manufacturing capacity. And finally, I’ll close with our Inland Barge group, for the second quarter our barge business have revenues of $174 million and operating profit of $36.6 million. Clearly, the second quarter financial results were strong. The results achieved were primarily due to the delivery of an order of specialty barges. In addition, the general mix of standard barge types delivered during the quarter was favorable. During the quarter our sales team did a great job bringing in $203 million in new barge orders. At quarter end, our barge backlog grew to $541 million. From a market demand perspective we have mix conditions. The movement of petroleum and chemical products has created a robust market for tank barge. I would describe the dry cargo market has more normalized with some downward pressure. Both reduction and domestic coal usage, and the uncertain rain harvest are the primary drags on the market. Overall, I continue to be pleased with the performance of our business unit teams. At this time, I will turn the presentation over to Steve.
Steve Menzies: Thank you, Bill. Good morning. Second quarter results of the Rail group and Leasing group reflect improved operating leverage and a solid increase in our order backlog amidst steady railcar demand. Our rail group reported an operating profit of $53 million during the second quarter of 2012, a 32% increase compared to the first quarter and a 244% increase compared to the second quarter of 2011. The dollar value of our railcar order backlog increased over 23%. Our Leasing Group reported 28% increase in operating profit when compared to the second quarter of 2011 to principally to a larger lease fleet, higher lease renewal rates and profit from lease portfolio sales. Lease rate and lease renewal trends remain very favorable. Industry orders for new railcars totaled approximately 16,400 and were driven primarily by orders for railcars needed to serve the oil, gas and chemical industries. During the second quarter 2011 Trinity rail received orders for approximately 8,610 new railcars, of second quarter orders were primarily for tank and covered hopper railcars and came from industrial shippers and third-party leasing companies. Trinity rails order backlog was 30,610 railcars at the end of the second quarter up 12% from the ended the first quarter. The dollar value of the backlog increased to an all time high at approximately $3.2 billion reflecting orders per higher value railcars in raising prices for certain railcars in high demand. Approximately 23% of the units in our order backlog are for customers of our leasing business. We were successful securing orders during the second quarter that extend current production lines for some railcars types into 2014. Also during the second quarter in response to a shift in the mix of railcar demand, we began to execute plans to change over certain existing railcar production lines and to transition excess wind tower capacity to railcar production. Our operating flexibility was key to our success in capturing the large number of orders in the second quarter. We believe our actions will position Trinity rail to produce a more favorable railcar mix through 2013 and into 2014. While we expect our rail group revenues to grow in the second of 2012 due to our shift in railcars mix, we may not see the same rate of operating margin improvement we demonstrated from the first quarter to the second quarter, due to cost we expect to incur related to our production transition and product line changeovers. We delivered approximately 5,245 railcars during the second quarter, compared to be approximately 3,150 railcars we delivered in the second quarter of 2011 and 5,010 railcars in the first quarter of 2012. During the second quarter of 2012 we saw solid improvement in our operating leverage due to a more experience labor force and the stabilization of our railcar production rate. This is evidence by the increase in our operating margin during the second quarter, while producing at consistent levels. For the year 2012, we are still projecting delivery of approximately 19,000 to 20,000 new railcars. We added approximately 1,565 new railcars to our wholly own lease free portfolio during the second quarter bringing our total lease fleet portfolio including TRIP to approximately 70,700 railcars, up 1.5% compared to the lease fleet portfolio at the end of the first quarter of 2012. Lease fleet utilization remained above 99% for the eight consecutive quarter. These renewal trends are very favorable, given the extended production backlog we have for certain railcar types. A high percentage of our lease fees are renewing our contracts, which lowers re-marketing expenses and minimizes other service time for the fleet. This has had a positive impact on leasing operating margins. Rising railcar prices, extended production backlogs and favorable lease renewal trends are creating an environment that supports further increases in lease renewals rates. We expect this trend to continue on existing railcars during tight supply and new railcar production backlog remain extended. The secondary market remains active to the sale of lease railcars. During the second quarter of 2012, we sold another group of lease railcars from our portfolio. We expect additional lease portfolio sales during the next few quarters, assuming conditions continue to support in active secondary market. In summary, near-term railcar market conditions remain favorable, driven in large part by demand from oil and gas production activities, chemical market expansion and increasing automotive production. We continue to see steady all linked quarters. We will enter 2013 with the strong order backlog. During the second quarter, we saw meaningful improvements in our operating leverage. As we continue through 2012, our operations’ team will remain focused on improving efficiencies, while keeping production levels stable. I’m confident that we can successfully execute our plans to transition our production footprint to meet strong market demand to serve the oil, gas and chemical industries and position TrinityRail to capitalize on attractive market opportunities through 2013 and into 2014. We expect to continue to see the benefits of a strong lease pricing environment in an active secondary market, supporting lease portfolio sales. I’ll now turn it over to James for his remarks.
James Perry: Thank you, Steve, and good morning everyone. Bill and Steve’s remarks helps sum up our financial results of our business groups during the second quarter. Therefore, my second quarter comments will be high level, principally related to the company’s outlook for the second half of 2012. As we reported yesterday, we had second quarter revenue growth of 45% and net income growth of 126% as compared to the same period last year. This continues the trend of significant growth as we target markets in the industries that our business has served. The operating leverage we have achieved, represented by a companywide operating margin of 15.1% in the second quarter is a reflection of our season’s leadership, dedicated employees and the flexibilities that Trinity has within its manufacturing footprint. During the second quarter, we repurchased 1.7 million shares of our common stock in the open market that accounts to $41 million. We have $159 million of remaining availability under our share repurchase authorization for 2012. During the second quarter, we also announced a 22 increase in our dividend to $0.11 per share. This increased dividend is tabled next week to shareholders of record on July 13th. These actions demonstrate our commitment to returning capital to shareholders who will continue to evaluate future dividend and share repurchase actions on a regular basis, comparing them to other investment alternatives. At quarter end, our unrestricted cash totaled $294 million. When this cash is combined with the available capacity under our corporate revolver and our leasing warehouse facility, we have $832 million of available liquidity at the end of the quarter. We are well positioned to capitalize on investment opportunities as they arise. I will now turn to the outlook for the second half of 2012. As we mentioned in the press release yesterday, due to the imprecise timing of a number of variables, we are providing second half guidance for 2012 rather than quarterly guidance. We now expect earnings for the second half to be between $1.45 and $1.60 per share. Combined with our strong results for the first half of the year, we now expect full year 2012 earnings per common diluted share of between $2.95 and $3.10, compared to the previous full year guidance of between $2.55 and $2.70 that we provided on our earnings conference call in April. This earnings outlook compares favorably to the $1.65 of earnings per common diluted share that we reported for the full year 2011, after the $0.12 adjustment for flood-related gains. We are in the process of repositioning a portion of our production capacity to align with continuing strong demand, primarily for product serving oil, gas and chemical industries. This transition is currently underway in several facilities and is expected to be complete by year end. The associated costs incurred during the second half of the year for repositioning a portion of our production capacity to meet this demand are expected to be approximately $0.8 to $0.10 per share and they were included in our second half guidance. Our businesses have historically performed well, when experiencing long production runs of consistent products. We are very optimistic about Trinity’s position, as we prepared to enter 2013. We expect our Rail Group to deliver between 8,745 and 9,745 railcars in the second half of 2012. We expect this to result in second half revenues of between $1 billion and $1.1 billion and an operating margin of between 9% and 11% for the group, inclusive of the previously mentioned costs, associated with repositioning our production capacity. Included in the second half earnings guidance, is between $0.17 and $0.22 per common diluted share of net profit from sales of railcars from the lease fleet. At this point, the secondary market remains receptive to sales from the fleet and we will continue to seek opportunities to conduct such transactions. The second half earnings guidance includes deliveries of railcars to the leasing company that will result in revenue elimination of between $290 million and $310 million and net profit elimination of between $0.20 and $0.26 per share, after taking into account the proceeds from railcar sales from the lease fleet. We now expect our net leasing capital expenditures to be between $140 million and $170 million for the second half of 2012. For the first six months of 2012, we reported approximately $0.18 per common diluted share from railcar sales from the lease fleet. For the first six months, we reported revenue and net profit eliminations from railcar deliveries to our lease fleet of $255 million and $0.19 per share respectively. For the first six months of the year, net leasing capital expenditures were approximately $122 million. Inland Barge revenues are expected to be between $320 million and $340 million for the second half of the year, with margins of between 16% and 18%. The guidance assumes healthy margins for this group and is comparable with levels we reported in the first quarter. We will continue to evaluate market conditions, as we deploy capital to promote the growth of our businesses. Our current 2012 business plan includes capital expenditures of between $130 million and $150 million in our manufacturing businesses, which encompasses capital investments we're making to reposition a portion of our production capacity to meet demand. The results for the second half will be influenced by multiple factors, including the amount of operating leverage that our Rail and Barge businesses can achieve, the costs associated with repositioning a portion of our production capacity, the level of sales of railcars from the leasing portfolio, the amount of profit eliminations from railcar additions to our leasing group and the impact of weather conditions on our Construction Products businesses. I’ll close by reiterating that we're pleased with the company’s performance in the second quarter. As we look to the second half of 2012, we are focused on delivering solid operating results, while at the same time repositioning a portion of our production capacity to respond to strong demand for products which serve the oil, gas and chemical industries. As we enter 2013, with a strong order backlog, Trinity will be well-positioned to take advantage of additional opportunities in the markets we serve. We have a season team of business leaders and our balance sheet that can support investment in our business platforms for future revenue and earnings growth. Our operator will now prepare us for the question-and-answer session.
Operator: (Operator Instructions) And we’ll first go to Allison Poliniak with Wells Fargo. Please go ahead.
Allison Poliniak – Wells Fargo: Hi. Good morning, guys.
Tim Wallace: Good morning.
Allison Poliniak – Wells Fargo: On the production news, remind me where some of those wind facilities actually -- didn’t they used to make tank cars and are we starting some business today, so we could see more in the Q3 versus Q4, just trying to get a sense a little bit more there?
Tim Wallace: Okay. Steve, you want to take that one?
Steve Menzies: I guess the answer to that is yes. When we saw the railcar market decrease several years ago, we were successful in converting several of our plans to produce wind towers. And fortunately now, we have the operating flexibility to go back the other way.
Allison Poliniak – Wells Fargo: Okay. Great. And then I guess just one for you as well, Steve. You’ve just given the prevalence of the tank car orders, how are you guys viewing that market? Are there concerns that this last quarterly order could be hit for a while, how are we looking at that right now?
Steve Menzies: We are continuing to see strong demand in our order inquiries for those cars to serve the oil and gas and chemical industries. And, I think we really see this concentration of tank car orders as a real opportunity. We don’t think it could have come at a better time for us. We know the tank car product line very well and we have competencies to produce this car type and have volume, the substantial demand that we are seeing, we are well positioned for. And with the sluggish freight car market in the downturn in the wind tower industry, we are able to demonstrate our flexibility by capturing the market and making the shift.
Allison Poliniak – Wells Fargo: Perfect. Thanks, guys.
Operator: Thank you. We’ll now take our next question from Bascome Majors with Susquehanna Financial Group. Please go ahead.
Bascome Majors – Susquehanna Financial Group: I want to drill down a little more detail on the accelerating demand that we see in tank car markets across the industry. Can you give us some directional insight into how much of the recent strength is from -- improved by rail versus users in a more traditional chemicals end markets?
Steve Menzies: Yeah, Bascome. This is Steve. Certainly, the oil and gas market is driving a significant part of the demand. But I think its important to recognize that we are starting to also see the ripple effect of those energy products in other chemical production, as well as some dry chemical production, for instance, plastics and resins. So, this I think has a longer sustainability as a ripple effects of abundant oil and gas becomes available and we see the steel products and others expand.
Bascome Majors – Susquehanna Financial Group: And gets to sort of explain on that, there is a lot of that the link capacity coming online. We are talking billions of dollars investment and say that 2014, 2017 timeframe. And I think that’s long way out, but the line for tank car is also pretty well at this point. I am curious, so you’re having conversations about orders that far out with customers at this point?
Steve Menzies: I think our customers had to making adjustment in some of the capital planning activities recognizing the extended backlog on tank cars. And we are having conversations with customer about a potential orders in the 2014 and '15 timeframe, yes.
Bascome Majors – Susquehanna Financial Group: All right, guys. Thanks for the time this morning.
Operator: From Tom Albrecht with BB&T Capital Markets. Go ahead, please?
Tom Albrecht – BB&T Capital Markets: Good morning, everybody. Congratulations on a good quarter. I had a couple of questions. Let me just rail them off and you can respond. Number one, on your lease renewals how to they compare to the GATX, LPI index which saw their renewals, up about 23%. Secondly, as I look at your backlog, it’s little over 30,000. It seems like 14,000 to 15,000 might be oriented towards 2013 production. Can you make some comments on that? And thirdly, the last couple of quarters, there has been a discussion by all the railcar makers of broadening of demand. There was not that discussion I heard, the words I think you wanted to communicate on that. Certainly you mentioned a ramp up of auto production, but could you speak to the broadness, we all saw the Q2 order numbers but is the broadness of the order book going away now for an extended period of time, what was that limited to Q2? Thank you.
Steve Menzies: Yeah. That was good Tom. Thanks. This is Steve.
Tom Albrecht – BB&T Capital Markets: Yeah.
Steve Menzies: First of all on lease renewals, I won’t give a specific comment about GATX’s index are comparative. But clearly, we are seeing a very favorable lease renewal trends. Again a high percentage of our lease fees are renewing their contracts that has a positive impact on our operating margins with lower marketing expenses and then minimizing out of service time. But this is indeed a very favorable time in lease pricing in particular with renewals and extended production backlogs. As far as the breadth of the market, we’ve talked about expanding chemical industry, which drives demand beyond the crude oil cars of the accrued by rail trend that we are seeing. And it also drives demand in the covered hopper cars for dry chemical products and resins. I also want to point out. We’re seeing strong demand in the automotive market and with projections for automotive production by independent forecast is many as $15 million to $16 million in the 2013, 2014 timeframe. I guess lastly with respect to the breadth of the market. This railcar market shifts from time-to-time. And I think our operating flexibility allow us to be prepared for what might be the next shift is that when that comes and this history bears out we’re certainly see another shift down the road again. And I think we are well-positioned to take advantage of that when it happens.
Tom Albrecht – BB&T Capital Markets: Steve, how about [Mighty Leaf] description of the backlog relative to next year’s production?
Steve Menzies: Yeah. We’re not in position today to talk about 2013. We’ll do that in subsequent conference calls. But clearly, we’re seeing demand that pushing into 2013 and we even have orders now pushing into 2014.
Tom Albrecht – BB&T Capital Markets: Okay. Thank you very much.
Operator: Thank you. We’ll now go to Art Hatfield with Raymond James. Go ahead, please?
Derek Rabe – Raymond James: Yeah. Thanks. Good morning, guys. Congrats on a quarter. This is Derek Rabe for Art. Just piggy back on some of the earlier questions, I was just wondering if you could provide us with kind of a picture of how much capacity is coming back due to tank production landscape for you guys from the conversion from the wind tower business. And then just taking a broader perspective look at it, can you just give us idea of how many idle plants you guys still have out there that you could possibly bring online, if demand were to pick up significantly from here?
Tim Wallace: This is Tim, responding to that. As far as our ideal capacity and shifting of the production and providing units and quantities that we will have in our various facilities. We don’t provide that information. We remain very flexible. So, we can shift production and balance it with demand levels and our people as I said are doing a fabulous job of going through various transitions. This isn’t the first transition that we have been through in the last several years. We have been almost in a state of constant transition of flexing our facilities. We have some facilities to go partial ideal and we have some that go ideal. And then we have some that convert from one product back to another. So it’s a fairly complicated metrics. But we’ve got some very season people that support the decisions to pursue the demand level like they are. And it’s a truly amazing inside to watch this happen with this organization. It’s a fabulous group of people that provide support.
Derek Rabe – Raymond James: Okay. Thanks of the color there. Just wanted to switch gears to energy business. We saw the margin come back so it’s a profitability. I think sooner than we expected how sustainable are those positive margins in the next couple of quarters. And can you just talk to any headwinds that you see out there, I mean obviously the wind tower businesses is pretty weak?
Tim Wallace: Bill, you want to take that?
Bill McWhirter: Yeah. Sure, Derek. As I made note in my comments earlier, I see opportunity from improved profitability over the back half of the year. So obviously, I am optimistic. We’ve made the significant changes in the product. And we’ve got a good run of product run into the facility right now and the team is doing a great job. So, I think back half can be better than the last quarter. Going forward, the exploration of the PTC is going to create a challenge. And so as I said my comments, we’re working to with our customer to come up with the production rate for 2013 to make sense. And then to the extent that we have the ideal capacity and rail groups got the demand for, we will make those ships.
Derek Rabe – Raymond James: Okay. Good. Just a couple of house-keeping items, can you guys talk to the -- what was behind or what was the driver behind the lower corporate expense and then also the gain in the other rail or the other net lined whether a sale of property there or can you just talk about what the drivers were?
James Perry: Yeah, Derek. And then our 10-Q, we’ve talked about as you will. This is James, Derek. In our 10-Q, we talked about within those line items that all other includes a lot of things our logistics company that’s all we have our non-operating plans. So, as we have environmental legal non-operating shift types of things are in there. Our captive insurance company is in there. So the operations of the business grow as they are right now with the substantial pick up in demand and production that we’ve had. If the items quarter-to-quarter move through those lines that are kind of unique to specific quarter.
Derek Rabe – Raymond James: Okay. Great. Thanks for the color.
Operator: Thank you. We’ll now go to line of Matt Brooklier with Longbow Research. Go ahead, please.
Matt Brooklier – Longbow Research: Hey, thanks. Good morning. I wanted to drill down little more on the expectations for railcar sales within your lease business. I heard it $0.20 to $0.22 number baked into the guidance. Is that -- that's for the second half or per quarter?
Steve Menzies: James?
James Perry: All the guidance that we provided in the second half number, what we’ve talked about in the sales to lease fleet during the second half just $0.20 to $0.26 on a profit elimination. I am sorry, that’s the sales to lease fleet. The gains of lease fleet to $0.17 to $0.22. I think you said $0.20 to $0.22.
Matt Brooklier – Longbow Research: Okay. So, the number is $0.17 to $0.22 and again that’s for the second half.
James Perry: For the second half of the year, that’s correct.
Matt Brooklier – Longbow Research: Okay. So it’s coming down a little. If we just divide it in half versus what you guys did in 2Q. Can you provide a little bit more color as to why you accelerated the rate of railcar sales? Was it just very attractive price and potential return on those specific cars and maybe talk to what cars were specific result and any additional color would be helpful? Thanks.
James Perry: Sure, Matt. This is James. I’ll pick up and we had $0.18 in the first half of the year. We’re looking at $0.17 to $0.22 the back half of the year. So, we’re expecting a nice sustainable level of opportunity for us as we’ve talked about as we go through quarter-to-quarter we see opportunities. We have now large lease fleet and having a lease fleet of in access of 70,000 cars give us those opportunities to seek diversification, to seek the opportunity, still liquidity back in the business and reinvest in new railcars. And it’s a mix of product types and car types as we look at what we sell any given quarter. In terms of the opportunity ahead of us, as we said the market is still receptive to those. We continue to have discussions and as we have entourage for certain car types. We look at the price and the returns that offers our business. And again, as we look at the mix and diversification those types of transactions all for us and that’s a good -- it’s a good transaction for us to execute.
Matt Brooklier – Longbow Research: Okay. Understood. Within energy equipment, we hear there is a transition away from production that those wind tower facilities, I think you have roughly four if I am correct. Its sound like some of those wind tower production facilities are already or will be in the near-term be producing railcars at this point in time. If we gain into a scenario where the tax credit expires and there is a very weak demand for wind towers hopefully just a temporary situation, but if this is a case, are you able to backfill and use those four facilities to produce just railcars or would there be something that wouldn’t teach you from being able to do so?
Tim Wallace: This is Tim. When we have plants that don’t have orders, we didn’t kind of put them up for grabs and all of our businesses are looking at them. And it depends on what the product mix might be at that time and demand levels of our various businesses. And then we have conversations pertaining to the returns on shifting the business. So, there is not a standard formula and there is not a standard plan that we go through. Its all tie to opportunistic situations of demand levels in the market.
Matt Brooklier – Longbow Research: Okay. So, I guess it’s -- kind of case-by-case scenario but I’m just thinking you have really nice strong demand in the near-term and likely over the next couple of years for tank cars and some of the covered hoppers and other car types. And potentially if we do get into a scenario of temporarily very weak demand for wind towers, you’re able to utilize those fixed assets and get return on the fixed cost side of it. Within the construction group, if we look at the highway bill that was passed earlier in July. Where do you see the most opportunity? Is there anyway to potentially quantify the amount of that opportunity within the construction group and maybe the timing if you could do so?
Bill McWhirter: Yeah. Matt, this is Bill. From a timing perspective, in my comments, I talked about really being more of a 2013, 2014 situation. I’m hopeful that it comes little sooner than that. But the construction season is upon us and it’s a little late for engineers to be planning projects and have those projects on the table. The bill itself was a nice bill. Funding was consistent with the funding in the past obviously, it was 28 months. It did have some special emphasis on highway safety products which is a market place that Trinity participates in and the budget for those products was raised. So we’re hopeful that the bill itself brings us good market conditions over the next couple of years.
Matt Brooklier – Longbow Research: Okay. Very good. Thank you for the time.
James Perry: Thank you, Matt.
Operator: Thank you. (Operator Instructions) We’ll now go to Sal Vitale with Sterne, Agee. Go ahead please.
Sal Vitale – Sterne, Agee: Good morning, all.
Timothy Wallace: Good morning.
James Perry: Good morning.
Sal Vitale – Sterne, Agee: Just a few quick questions, maybe, we could start on barge. You gave barge guidance. I think that was 16% to 18% for the second half in terms of margin. And in your comments, you mentioned that for the second quarter that some of the increase in the profit on the barge side was from some specialty barges. So how do we think about that in terms of that, you did 21% margin in 2Q and that steps down. It’s called 300 basis points or so? Is it fair to say that some or all of that 300 basis points step down is due to specialty barge product that you sold?
Bill McWhirter: Yeah, Sal. This is Bill. From the margin perspective and the 300 basis points that you’re talking about as we said the specialty order was a big contributor to that. In addition, I cited that the general mix of barges and the long production runs that we have at particular barge types were favorable to Trinity as well. So those two items together combined for the vast majority of that improvement. So we had a really strong quarter and 16% to 18% is a nice place to get back to in this business. And so we’re working from down right.
Sal Vitale – Sterne, Agee: Okay. But thinking ahead, beyond the second half, can we think about the number being closer to, say, 27% level?
Bill McWhirter: Well, James has provided you the guidance of 16% to 18%. So we’re not going to….
Sal Vitale – Sterne, Agee: Okay. Fair enough. Okay. If I could just switch gears over to the railcar side, if I look at the -- just starting from an industry perspective, in terms of the tank car orders, maybe looking at last five quarters or so. They’ve generally been in the range of call it 5,000 to 7,000. And then in 2Q, they pretty much double to about 13,700, which is great. I’m just trying to get a sense for -- how many orders whether that really drove that? I mean, was it pretty broad based or was it just based on some specific customer orders that were on the larger side. And then from your perspective in particular, can you give us sense for what percentage of the orders that you obtained?
Steve Menzies: Sal, this is Steve. I would say, there is certainly some large orders in the mix. Those are small orders. And then tank car orders range from 5 cars for an order and can be a thousand cars for orders. So all points in between, I would generally describe it as being fairly broad and I would expect that trend to continue.
Sal Vitale – Sterne, Agee: Okay. And then if I could just ask one last question on the covered hopper side, that’s pretty much printed in converse of the tank car side. You’ve seen that the orders there industry wide have pretty much dried up over the last couple of quarters, which make sense consistent with what you’ve been saying over the last conference call, last two conference calls. Can you give us an update on when you see that starting to pick up with natural gas prices coming back a little bit now?
Steve Menzies: Sure. And I’m sure you read a lot of the same analysis that I read and really I think what drives drilling and exploration is the price of gas. We see that start to stay north of $3 and approach $4. We probably start to see drilling for dry gas to resume. Keep in mind that the fracs and propanes are also used for wet gas and for oil exploration as well. And pricing that has been a little bit more stable. We put a lot of cars into the marketplace to serve that part of the industry. It does take some time for those cars to be absorbed. And I think generally, we’re thinking there might be recovery there in the first half of 2013.
Sal Vitale – Sterne, Agee: Okay. And then, if I could just ask one last question on the pricing side, if I look at the per car -- if I look at the value of your backlog on a per car basis that’s up about some thing like 11% sequentially, I believe. I understand some of that’s going to be mixed. Can you maybe try to segment that 11% increase between mix and pure price. Any color you can provide on pure price would be helpful?
Steve Menzies: Yeah. I mean, it’s always difficult to generalize about pricing. Clearly, the mix of cars that were now taking orders for a higher value cars and also the cost of steel, the specialty steel that’s used in the manufacture of railcars and the steel components have also experienced significant price increase has resulted in the corresponding increase in the price of the railcar. So the increases you’re seeing are really driven both by supply and demand dynamics as well as by component and steel costs.
Sal Vitale – Sterne, Agee: Okay. Thank you.
Operator: Thank you. We’ll take our next question from Tom Albrecht with BB&T Capital Markets. Go ahead please.
Tom Albrecht – BB&T Capital Markets: Hey, just to follow up on the wind towers. So, given the fact that your press release used a plural word, plants, can we assume that by maybe year end that the amount of plants dedicated to wind is going to be, maybe, as little as one. And then secondly, in rebound in energy revenue sequentially in year-over-year, I know some of this will be in the 10-Q but was that driven mostly by non-wind recovery revenues?
Tim Wallace: Tom, this is Tim. I don’t think we’re in a position right now because Bill said he has had a conversation with a customer to really -- we really can’t say whether we’re going to have one or two plants involved with wind right?
Bill McWhirter: Absolutely. Absolutely. So a little uncertainty around that right now, Tom, as I said in my comments, railcar piling into the third quarter. On the revenue side, the revenues that are non-wind tower businesses within the energy equipment were better and in particular on the container side had a bit of that on the storage container side, consistent with, kind of, oil and gas [trading] within Trinity right now. So that’s an opportunity for growth as well.
Tom Albrecht – BB&T Capital Markets: Okay. That’s good color. That still helps me enough to articulate that folks. So thank you.
Operator: Thank you. And we’ll now take our next question from Mike Baudendistel with Stifel Nicolaus. Go ahead please.
Mike Baudendistel – Stifel Nicolaus: Thank you. You stated some competitive pressures in the highway products business. Did you remind us kind of who your competitors are there in and is that for the highway guard rail business specifically?
Bill McWhirter: Yeah. I’m not probably going to cite the individual competitor. There is a lot of private companies in the business particularly on the domestic basis. We do participate internationally as well. So that broadens the number of customer and that remains across the board. The market has been a little competitive, little soft. I think it mostly states inability to plan for a long-term basis and so the product tends to be focus more towards the commodity based product, a little lower value product and not to the higher end high value products for Trinity. So we’re hopeful that the two-year bill will improve those conventions.
Mike Baudendistel – Stifel Nicolaus: And we set up very well the to compete in this market where it is, Bill, from a cost standpoint, what do you say?
Bill McWhirter: Absolutely. We competed in the stronger market and the softer market as well. Our plants in operations are doing a great job there keeping those competitive.
Mike Baudendistel – Stifel Nicolaus: Great. And then another question on the wind towers, a, assume that there is a large -- it sounds like there is a large decline in revenue activity there that you’re going to try to transition the facilities to other things. If you’re unable to do that, in sort of, the facilities or more or less idle. Can you give us a sense for how much of those costs are variable versus fixed and sort of how much, overhead there would be as a percentage of the loss revenue?
James Perry: Sure, Mike. This is James. It’s hard to pinpoint that right now as we talked about, we have a lot of manufacturing flexibility. I think as we look as we move into 2013 if there’s demand decline as we have some expectation and we look at repositioning a portion of that production capacity as Tim mentioned. We’re very good at that and our teams are doing a good job at that. So I think it’s too early to make those type of forecast in terms of fixed and variable overhead and those type of things without understanding what other products within our company we may be able to put into those facilities, if we want to have such a change.
Mike Baudendistel – Stifel Nicolaus: Okay. Great. And then just final one, on the transition of some of these facilities from wind towers to tank cars, its sounds like you have some extra cost. Is there incremental capital you are required as well? Do you have all the equipment that you need to do that?
James Perry: Yeah. This is James. We mentioned that $0.08 to $0.10 that we expect for the second half of the year and that’s the expense side. We did during the quarter from the last conference call, update our capital expenditures guidance and we took that up, about $20 million and the majority of that is in the relation to -- opportunities we see in oil, gas and chemical industries, inclusive of the types of things we’ve talked about in this production capacity ships.
Mike Baudendistel – Stifel Nicolaus: Okay. Great. This is very helpful. Thank you.
Operator: Thank you. And it appears, we have no further question at this time. I’ll now turn the conference back over to our presenters for closing remarks.
Gail Peck: That concludes today’s conference call. A replay of this call will be available after 1 o’clock Eastern Standard Time today through midnight on August 2, 2012. The access number is 402-220-0121. Also, the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.